Operator: Good evening, and welcome to the IDT Corporation's First Quarter Fiscal Year 2021 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-month period ended October 31, 2020. During remarks by IDT’s Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer, will join Mr. Jonas for Q&A. Any forward-looking statements made during this conference call either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT's management may make references to non-GAAP measures, including adjusted EBITDA, adjusted EBITDA less CapEx, non-GAAP net income and non-GAAP earnings per share. A schedule provided in the IDT's earnings release reconciles adjusted EBITDA, adjusted EBITDA less CapEx, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, operator. Welcome to IDT’s first quarter fiscal year 2021 earnings call, covering results for the three months ended October 31, 2020. I'm joined today on the call by Marcelo Fisher, IDT’s Chief Financial Officer. For a detailed report on our financial and operational results, please read our earnings release filed earlier today in our Form 10-Q, which we expect to file with the SEC on December 10. Starting this quarter, we are disclosing our financial results in new reportable segments that more accurately reflect management's current view of the business and increasingly important contributions of our higher growth, higher margin businesses. Please see the earnings release for description of our new reporting segments. This was another strong financial quarter for IDT, with substantial year-over-year improvement in revenue less direct cost of revenue and bottom line results. All three of our high growth, higher margin businesses; BOSS Revolution Money Transfer, NRS and net2phone's cloud communications offerings generated impressive year-over-year revenue growth. In aggregate, these businesses have been contributing an increasing share of our consolidated revenue less direct cost of revenue, and this quarter their contribution topped 30%. Our money transfer business benefited, although significantly less this quarter from the same favorable foreign exchange market conditions that boosted our money transfer results last quarter. Within the new FinTech segment, BOSS Revolution Money Transfer revenue increased by $8 million to $15 million, driven by a 77% year-over-year increase in digital transaction volumes. Also within FinTech, NRS revenues increased 109% to $4.9 million, with payment processing and digital out-of-home advertising revenue leading the way. The COVID-19 pandemic has definitely impacted consumer spending patterns and many local convenience stores are benefiting from increased foot traffic. I am more excited than ever about the potential of our NRS business. Our most promising offerings, including advertising, payment processing and analytics have just begun to realize their potential. And we continue to grow our retail network, adding 450 to 500 new POS terminals a month. We expect the pace of growth to accelerate once COVID vaccines are widely available. By the end of the quarter, we were billing for over 12,000 deployed terminals. net2phone’s cloud communications business, now reported as the net2phone-UCaaS segment increased revenue by one-third compared to the year ago quarter to $9.6 million. I was particularly happy to see strong sequential growth in our Latin American markets. Many of these markets slowed early in the year as a result of COVID-19. LATAM subscription revenue increased 30% sequentially and our business there should benefit from expansion to new markets going forward. We also recently launched in Peru, the sixth largest market in Latin America and we will add six more cities in Brazil before the end of the current second quarter. So as you can hear and see, we are investing heavily in sales growth. We also continue to invest aggressively in product development and we’re confident that this will position net2phone for an even more impressive growth going forward. Turning now to our Traditional Communication segment, BOSS Revolution Calling and Mobile Top-Up both had a good quarter continuing the trend since the onset of COVID-19 pandemic. While our carrier services business continued to be impacted by the pandemic related loss of international corporate voice traffic, in aggregate revenue for this segment decreased by $10 million to $314 million, while adjusted EBITDA less CapEx a reasonable proxy for cash generated increased by $4.8 million to $17.8 million. Cash generation was boosted by our ongoing efforts to streamline operations and reduce the overhead associated with these offerings. Across our businesses, we continue to invest to develop new technology driven offerings and features that will enable us to better serve and maintain our customers and to pursue exciting growth opportunities as well as systems that make us more efficient.  Within FinTech, we will roll out BOSS Money Visa Card in peer-to-peer transfers early next year. This is the first step in a broader and strategic challenger bank initiative that we are now focusing on to help our immigrant under-banked and unbanked customers conveniently access and participate fully in the digital economy. At NRS, we launched NRS Petro in the first quarter, a new Pay at the Pump Solution for independent gas station owners that we believe will open a potentially large new market for us in both petro and convenience, and food stores that are located in gas stations. And now can use a seamlessly integrated solution from NRS. At net2phone-UCaaS, we continue to focus on developing and releasing integrations with third-party applications and CRMs. Last quarter, we released an integration with Microsoft Teams, since then we have released integrations with Zoho and Slack. Our customers love these integrations, and we expect that these along with other terrific new features in the development pipeline will fuel net2phone’s expansion in the coming year and beyond. IDT closed the quarter with a stronger balance sheet, even as we continue to invest in our businesses and repurchase our stock. At October 31, we held $119 million in cash, debt securities and current equity investments. Now Marcelo and I would be happy to take your questions.
Operator: Well, at this time there appears to be no questions. This will conclude our question-and-answer session and the conference call. We thank you all for attending today's presentation. At this time, you may disconnect your lines. Take care, everyone.